Operator: Good day and welcome to the St. Joe Company second quarter earnings conference call. This call is being recorded. Currently all participants are in a listen-only mode. You will be given a chance later to ask questions. At this time, I would like to turn the call over to, Mr. David Childers. Please go ahead.
David Childers : Thank you. Good morning. Welcome to the St. Joe Company conference call to discuss 2010 second quarter results. I'm David Childers, Vice President of Finance and Treasurer and on the call this morning are Britt Greene, our President and CEO; and our Executive Vice President and CFO, Bill McCalmont. Before we start, let me remind you that matters discussed on this conference call which are not historical facts are forward-looking statements that are based on our current expectation. Actual results may differ materially. Forward-looking statements are subject to certain risks and uncertainties that are described in today's earnings release, and in our SEC filings. These filings are on our website at www.joe.com. Reconciliation of non-GAAP measures mentioned in today's call can also be found in today's earnings release. Bill?
Bill McCalmont: Thanks David. For the second quarter of 2010, we had a net loss of $8.6 million or $0.9 per share, including a pre-tax restructuring charge of $1.2 million or $0.01 per share after-tax. This compares to a net loss of $44.8 million or $0.49 per share in the second quarter of 2009, which included pre-tax and non-cash charges of $64.7 million or $0.43 per share after-tax. In our residential business during the second quarter, we accepted contracts on 20 home sites throughout our communities at an average price in excess of $135,000. We closed on 11 home sites at an average price of $109,000 in the Resort communities of WaterColor and WaterSound West Beach in Walton County. And we closed five home sites at an average price of $57,000 in the primary community of Hawks Landing in Bay County. Britt will discuss VentureCrossings momentarily but in our commercial business broadly, we are currently in the final stages of negotiations on several build-to-suit agreements and ground leases. We closed on limited rural land sales this quarter as we remained focused on selling smaller tracks rather than larger than larger contiguous acreage. We generate $400,000 from the sale of 42 acres at an average price of $9,500 per acre. We also generate $400,000 from easement transaction during the quarter and recognized another $400,000 from previously deferred sales. Forestry revenues during the second quarter were $7.8 million, an increase of $600,000 from the second quarter of 2009, mostly due to the increased sales price per ton of sawtimber. Regarding our Resort operations, we were off to a great start prior to the oil spill but now we anticipate that results for the second half of the year will be lower than in 2009, based on reduced advance bookings and continuing cancellations due to the Deepwater Horizon incident. These cancellations lead to the overall lower occupancy as well as lower [Gulf] food and beverage and marine operation revenues. Turning to our three-year agreement with Southwest, which commenced on May 23, we have agreed to reimburse Southwest to bank her losses on service for their new airport. During the second quarter there was no required reimbursement payment to Southwest Airlines. Our quarterly valuation to standby guarantee liability did not change and we continue to carry liability of $800,000. We have also limited our exposure to rising jet fuel prices and effectively hedge a portion of this variable expense by way of entering into a premium neutral color during the second quarter. Let me now turn to our cost controls. In the first half of this year we reduced capital expenditures to $6 million for $9.4 million in the same period of 2009, a reduction of 36%. Our capital expenditure in the second half of this year will be mostly associated with the development of two buildings within VentureCrossings, which Britt will discuss. During Q2 we were successful on continuing to trim expenses and reduce cash overheads. These costs were reduced by $2.5 million from $14.4 million in Q2 2009, a reduction of 17%. We expect expenses associated with corporate relocation to be approximately $5 million pre-tax and cash termination benefits of $2.2 million pre-tax. Most of these expenses will be incurred by the end of the third quarter of 2011. Regarding the balance sheet; at June 30, we had cash of $139 million accentuating no debt and our $125 million revolving credit facility remained undrawn. Subsequent to the end of the quarter our nearly $68 million cash receivable was received. Our solid balance sheet and increasingly efficient operating structure provides substantial flexibility allowing us to execute our business strategies as we move ahead. We want to take this opportunity now to provide you with an update regarding our response to the Deepwater Horizon oil spill incident. As with the case during the last earnings call, I will limit my comments to what we as a company know about the incident and the steps we are taking to respond. While the surface sheen is now a good distance from our properties, we realize that the oil spill is difficult to monitor and track because the substantial amount of the oil that escapes from the well lies below the surface. We will continue to monitor the situation closely and as you might expect we are taking all necessary steps in response to this catastrophe. However it is too soon to definitely determine the financial impact of the incident. We realized that we face the prospect of significant long term financial impact caused by the incident. As you know, this uncertainly has been reflected in our stock price. Indeed, since April 29, our stock price declined over 40% in the days following the explosion. We believe this decline is the direct result of the incident and the uncertainly it has caused regarding the Gulf Coast region and Northwest Florida in particular. Make no mistake our company has been harmed like most others that operate in this region. Nonetheless we are confident the long-term outlook for St. Joe. First, we believe that our business plan remains the right course to achieve significant returns for our investors. Second, we have responded to the impact on St. Joe is a plan that will in our opinion maximize the likelihood that the company achieves a full and complete financial recovery from those who are responsible for the incident. As you know, we recently retained the service of the national litigation firm to Bickel & Brewer to direct, analyze and execute the various legal strategies available to us in order to obtain a full and complete recovery for the damage to our company. Bickel & Brewer have a national reputation in the field of the major dispute resolution and crisis response with a wide range of experience in complex commercial litigation. We are confident that working with Bickel & Brewer will help us to maximize our recoveries. To this end, yesterday, we filed a lawsuit against Halliburton Energy Services, Inc. We believe Halliburton was grossly negligent in its performance of its responsibilities and disregarded numerous warning signs that could have prevented this catastrophe. Because of the act of Halliburton and other responsible parties, we have suffered damages related to our enterprise value which is reflected in these key areas. One, cost associated for mediation and responding to the spill; two, interruption to our business plan; and three, the diminution of value of our assets. Although the outcome of any litigation cannot be predicted, we are committed to pursuing all appropriate financial remedies and will continue to pursue our legal options against other responsible parties as well as Halliburton. Let me repeat, we will continue to pursue our legal options against other responsible parties in addition to Halliburton. Even as we respond to this catastrophe our goal is to capitalize in our business plan and executes the vision for the company, we believe we remain well positioned for long term success and to maximize shareholder value. We will continue to identify and seize upon new business opportunities and move our company forward. And as is consistent with our history and our culture, we remain committed to the best interest of the interest of our investors, customers and employees. Now let I me pass the call back to Britt.
Britt Greene: Thank you, Bill. After years of hard work and anticipation, we were extremely proud and excited that the new Northwest Florida Beaches International Airport opened in May. Florida's governor and other local state federal dignitaries celebrated the even along with us and the residence and businesses are the surrounding communities. Hearing to Governor Horacio, our thoughts as he spoke of the economic benefits of the new airport could initiate with great validation of what we think lies ahead for the region and for St. Joe. Because of the new airport, our region has now become more easily accessible to the rest of the country in the global marketplace. We believe this can greatly accelerate the positive transformation that is occurring to Northwest Florida and contribute to the economic prosperity that the region could realize over the coming decades. The new airport is the first international airport built in the United States in the last 15 years. It was built in the middle of the 75,000 acre West Bay Sector Plan where we have current entitlements for over 4 million square feet of commercial space and over 5,600 residential units. Furthermore, we earn over 300,000 acres within forty miles of the new airport, which combined with our financial strength and creativity provides us ample opportunity to benefit on both the commercial and residential fronts. We are pleased to know that Southwest Airlines have successfully commenced service at the new airport. Recently Gary Kelly commented during Southwest' earnings call as well as in his interview on CNBC about the new service to the airport. He said in the earnings call, "we are off to a great start. Our customer's response has been tremendous." We will continue to monitor Southwest operations at the new airport as part of our assessment of the impact of the oil spill on our region. One of our key commercial focuses as we have previously discussed our VentureCrossings enterprise center at West Bay. VentrueCrossings encompasses the first thousand acres to be developed by St. Joe within the Sector Plan adjacent to the new airport. It includes approximately 100 acres designated for retail office and hotel uses; approximately 300 acres for light industrial uses and approximately 600 acres for manufacturing, distribution and logistics uses. CB Richard Ellis is assisting us in the marketing of VentureCrossings and we are very pleased with the early progress being made with the many site selectors and potential tenants and customers interested in the project. With in VentureCrossings site development has began and construction is scheduled to begin in October on the vertical development of our office building that we occupy as part of our previously announced corporate headquarters relocation. We've also break ground this year on a light industrial building within VentureCrossings. We have determined there is also a need for long term covered parking at the airport and we plan to develop an initial 300 space facility within the VentureCrossings. The location of the lot will be at the entrance to the airport and shuttle service to the front door of the terminal will be provided. We expect the covered lot facility to be operational in time for spring break next year. We recently return from the Farnborough International Air Show in England where we met with many site selectors and prospective customers in the aviation aerospace and defense industry. Along with our economic development partners in the Gulf Coast aerospace lines we met with over 16 aviation aerospace and defense companies and connected with a number of industry leaders over several days of the air show. The key topics in every conversation were flexibility, runway access and land availability. Also discussed was our favorable location, reasonable cost of doing business, the availability of an educated workforce and a superior quality of life, all attributes that our land in the region provides. Unfortunately, the oil spill was also discussed at great lengths. Our growing prospect list includes very well known companies within the aviation aerospace and defense industries, and while this industry is the main focus of St. Joe we are aggressively pursuing and developing relationships across a number of industries. Although I can't discuss specifics today, our discussions and negotiations with prospective customers are accelerating. Now before I close, let me show the news that the US Air Force announcing an additional operational scout squadron being added to Tyndall Air Force Base, existing F-22 Raptor combat training mission. The air force plan to consolidate its F-22 facilities and Tyndall Air Force Base came out the big winner with the maximum number of jets possible. The result is approximately 600 additional military and civil service jobs for Bay County as well as the potential for added growth of defense contractors in the region and coming from outside the region. The first of the new F-22 operational jets and personnel are expected in 2012. I would also be remiss, if I did not mention that recently Travel + Leisure magazine recently selected our WaterColor and Resort as one of the top 50 resorts in the United States and Canada. We are very proud of this huge honor and, by the way, our beaches our still beautiful and would love to have you come visit us. And with that, I will turn it over to questions.
Operator: (Operator Instructions) We'll go first to Sheila McGrath with KBW. 
Sheila McGrath - KBW: Good morning. I have a couple of questions. First I know you can't really comment on the pending law suit but I was just wondering if you could give us some insight in terms of the legal fees, if that's going to be in G&A, if that's going to increase your G&A or are you pursuing these ramifications on a contingency basis?
Bill McCalmont: Sheila, this is Bill. Thanks for the question. Unfortunately, I am not really at liberty to discuss the fee arrangements. At this time those terms are confidential. But having said that, I would expect a slight uptick in G&A as we incurred some cost associated with the ongoing litigation, again Halliburton and possibly others.
Sheila McGrath - KBW: Were there any legal fees in this quarter's results?
Bill McCalmont: There is a very small amount this quarter.
Sheila McGrath - KBW: Okay. And with volumes up at the airport, we listen to Southwest' results; just wondering, if you've seen any pick in interest from, like airport-related services like gas station or a convenient store to locate by the airport?
Britt Greene: Sheila, this is Britt, good morning. Yes there has been. I think the effort again is to make sure those interested parties in all of those commercial aspects that you just mentioned are located in the right slots, so we're in ongoing conversations in a number of different locations. But yes, part of the acceleration of the conversation has been the success of both Southwest and Delta at the new airport.
Sheila McGrath - KBW: And then on the parking garage and also the build-to-suit that you mentioned in your comments, the parking rise is that going to continued to be owned by St. Joe or how about be structured? And then also on the build-to-suit are these buildings that you would turn over or are these buildings that you would lease to companies?
Bill McCalmont: Yes, Sheila it relates to the parking garage. That would be something that we would build and own and hire a third-party manager to operate for us, so much the same way as our Resort and Club operations are managed today.
Britt Greene: And on the other commercial development and our build-to-suit, it's our intent to own and lease the buildings to the industry companies that have interest in that region. So again, opportunity to build recurring income stream through the company over a long period of time.
Sheila McGrath - KBW: And do you think that something that would materialize in 2010?
Britt Greene: I can't comment on that at this point, Sheila so I don't want to try to anticipate that.
Sheila McGrath - KBW: Okay, last question on Southwest. Their results in terms of their comments on just the traffic that they experienced at the new airport were very positive. Do you get any inclination or insight? Was that positively impacted by the spill or was that then capturing market share from people that used to drive? Just curious if you have any insights what's driving that?
Bill McCalmont:  I am not sure that we have both specific insights. I think Southwest would obviously be a better source of that. But I think our promise for the investment we've made in and around the airport was that there is an untapped demand that it's being manifested here we believe during the first 39 days of operation in the second quarter.
Britt Greene: And I think you have to take note of the fact that the original airport had maybe a third of the flights that are opened up by May 23, the fact that the load factor is a rough where the yard, I think speaks volumes to a number of different passenger uses employments and deployments that takes place.
Operator: (Operator Instructions) We'll go next to Buck Horne with Raymond James.
Buck Horne - Raymond James: Were there any direct environmental response cost that you absorbed in expenses this quarter and how do you plan on getting reimbursed for those? Did they get reimbursement this quarter, would that be at a later date? How did those costs get claimed and would you throw them into the larger complaints that you plan to file?
Bill McCalmont: We did incur some cost this quarter and they were included in our G&A as were the small amount litigation cost that we incurred this quarter and as it relates to ongoing cost that we occur, we will include those in claim so our potential loss suits against the responsible parties. And the timing, well, I guess that's all dependent on you are putting all that in the larger complaints right for reimbursement you're not going to file a claim against what are the funds that are set aside You know what we're doing; all of our options for financial compensation and the claims process is certainly one of those options we'll consider pursuing once we've had the opportunity to review the best course of action for the company.
Buck Horne - Raymond James: And just one thing about the drop off in commercial sales that we saw this quarter, was that going to zero here, is that a function of something strategic where you didn't want to transact anything with all the negative headlines that were out there this quarter or was there some drop off in interest from some of the end users just to see if we're all concerned about the oil spill? Just trying to understand, see if you can help us understand commercially what's going on with your conversations and what they are concerned about and if there is strategically something you are holding out for?
Bill McCalmont: One of the things we are doing Buck is that we are pursuing ground leases and build-to-suit opportunities as opposed to right sales and those are a little bit more complex and tend to take a little more time. Having said that, yes, we've seen people delay discussions, delay closings as a direct result of the oil spill. So it's a combination of a couple of things there.
Britt Greene: Again, the purpose here is to try to use this great asset that we have around the airport and make sure we deliver the best value to the shareholders. So I would anticipate as we go forward here will be fact of what Bill said, our efforts are to do that through ground leasing or build-to-suit opportunities. The pace at which that happens is still uncertain given the fact the oil spill occurred. And while we are encouraged by the conversations we were having, the accelerated conversations as a result of the success of Southwest and Delta, that it will be balanced as we go forward but we are encouraged by the conversations.
Buck Horne - Raymond James: My last one if I can throw it in there is just on the Resort and Club revenue. I just noticed that it was up this quarter year-over-year. I am just wondering, I guess what drove that and then why is it we are seeing such a large drop off? I mean I guess I would have expected to drop off but it looks its going to occur in the second half of this year? And just, wonder if you can add some color around the dynamics of that?
Bill McCalmont: We were off to a great start this year and captured a great day of spring break business in the months before the oil spill. But you know, as we walk through the quarter and we near the end of the quarter, the negative effects of the Deepwater Horizon is you know became more evident and so we become a little more concerned about performance during the balance of the year. We also stand, as you might imagine a great deal of times during our public relations issues and negative booking impacts created by the oil spill, kind of anecdotally the Bay Point marine experience is worst month in the history at Marina. So, it's those types of things we're seeing presently and we lay those results at the door step there also.
Operator: And at this time there are no further questions. I'll turn the call back to Britt Greene.
Britt Greene: Thank you. Appreciate your time this morning. If you are seeking any other opportunities of clarity, please call Dave Childers and go online and check out the claim through Bickel & Brewer's website. So, with that, I appreciate your time. Let me reiterate the beaches and the water look great and would love to have you come and visit. So thank you very much.
Bill McCalmont: Bye.
Operator: This does conclude today's conference call. We thank you for your participation.